Operator: Good morning, ladies and gentlemen. Welcome to CGI's Fourth Quarter Fiscal 2022 Conference Call. I would now like to turn the meeting over to Mr. Kevin Linder, SVP of Investor Relations. Please go ahead, Mr. Linder.
Kevin Linder: Thank you, Joel and good morning. With me to discuss CGI's fourth quarter fiscal 2022 results are George Schindler, our President and CEO; and Steve Perron, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 a.m. Eastern Time on Wednesday, November 9, 2022. Supplemental slides as well as the press release we issued earlier this morning are available for download, along with our fiscal 2022 MD&A, audited financial statements and accompanying notes all of which have been filed with both SEDAR and EDGAR. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. The complete safe harbor statement is available in both our MD&A and press release as well as on cgi.com. We recommend our investors read it in its entirety. We are reporting our financial results in accordance with International Financial Reporting Standards or IFRS. As always, we will also discuss non-GAAP performance measures, which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on this call are Canadian, unless otherwise noted. I'll now turn it over to Steve to review our Q4 financial results and then George will comment on our full year performance and business outlook. Steve?
Steve Perron: Thank you, Kevin and good morning everyone. Our results in the quarter were strong against all key financial metrics, demonstrating the resiliency of CGI's business model and the value that we provide to our clients. In Q4, we delivered $3.25 billion of revenue, up 8% year-over-year or up 13.9% when excluding $178 million of unfavorable foreign exchange and tax. All segments delivered positive constant currency growth, including the following, with double-digit growth: Western and Southern Europe up 35%, Asia-Pacific up 22.7%, Canada up 13.2% and U.S. commercial and state government up 10.9%. From an industry perspective, we also add constant currency growth across all sectors. Notably, financial services grew 21%, manufacturing, retail and distribution grew 14%. Government grew 13% and communication and utilities grew 10%. The number of our consultants and professional increased year-over-year by 10,000 people, representing a 12.5% increase for a total of 90,000 worldwide. As plan, our offshore delivery centers of excellence are growing at the faster pace, 13.2% year-over-year and now representing 22% of total employees. We booked $3.6 billion of contract wins in the quarter, up 25% year-over-year and representing a book-to-bill ratio of 112%. Notably new business in the quarter was 37% of booking, an increase from the previous years, 31% and the IS in the last five quarters. Book-to-bill was over 100% in the majority of our client proximity segments led by U.K. and Australia at 139%, U.S. commercial and state government at 125%, U.S. Federal at 121%, and Finland, Poland, and Baltics at the 117%. With respect to our European operations book-to-bill was 107% for the quarter and 114% for the full year, demonstrating ongoing resilience in relation to the current macroeconomic pressures. And in North America, book-to-bill was robust at 117% for the quarter. On the strength of total Q4 booking, global backlog is now at an all time high of $24.1 billion. This represents 1.9 times revenue. Bookings related to our IP services and solutions also increased significantly year-over-year, resulting in a IP book-to-bill ratio of 146% in the quarter. With the addition of services acquired from Umanis, which consists almost exclusively of SI&C revenue, IP as a personage of revenue remained stable sequentially at 20% in the quarter. As a reminder, mergers provide us with new client relationships where we can offer and deliver our full suite of end-to-end services in particular, our IP. In the quarter Multiple segment had notable IP booking. U.K. and Australia with an IP book-to-bill a ratio of 283%, driven by our global trade solutions. Canada, with an IP book-to-bill ratio of 273%, led by new wins for our wealth management solution suite and U.S. commercial and state government with an IP book-to-bill ratio of 166%, driven by our advantage state and local government ERP solutions. With respect to profitability, adjusted EBIT in Q4 was $522 million, up 5.7% after considering the unfavorable impact from fluctuation against our Canadian reporting currency. EBIT margins were 16.1%, up 10 basis point sequentially. On a year-over-year basis, margins were down 30 basis point, mainly due to the temporary dilutive impact of recent larger acquisitions and also due to the expected increase of post-pandemic travel in support of business development activities. We remain on plan to bring recent mergers to CGI margin targets over the coming quarters. EBIT margin were strongest in the following segment. Asia-Pacific at 28.6%, Canada at 24.6%, U.K. and Australia at 16%, and Finland, Poland and Baltics at 15.9%. Our effective tax rate in Q4 was 25.4% compared to 25.5% in the prior year. We continue to expect our tax rate for future quarters to be in the range of 24.5% to 26.5%. Net earnings were $362 million and diluted EPS was $1.51, representing an expansion of 8.6% year-over-year. When excluding integration and acquisition costs, net earnings were $373 million, reflecting a margin of 11.5%. On the same basis, diluted EPS was $1.56, an accretion of 11.4% when compared to $1.40 in the same period last year. This improvement was mainly driven by the execution of our build and buy possible growth strategy. In Q4, cash provided by operating activities was $489 million, representing 15.1% of revenue. Compared to the prior year, cash from operation decreased $38 million, mostly due to COVID related income tax refunds in Q4 of fiscal 2021, timing of our payables and a higher DSO of 49 days. The increase in DSO was mainly due to the impact of recent acquisitions, which are in the process of being fully integrated, as well as foreign exchange fluctuations. Our DSO target remains at 45 days. In the quarter, we invested $103 million back into our business and $133 million in buying back 1.3 million shares at the weighted average price of $105.48. Importantly, our return on invested capital is up 80 basis points to 15.7% compared to 14.9% in the year ago period, demonstrating our efficient deployment of capital. Looking ahead, our capital allocation focus continues to be on delivering double-digit returns to our shareholders by investing back in our business, pursuing accretive acquisition, and buying back our stock. Our capital resources totaled $2.5 billion with access to more if needed. Now, I will turn the call over to George to recap the full year results and the outlook for our new fiscal year. George?
George Schindler: Thank you, Steve and good morning everyone. At this time last year, I outlined CGI's fiscal 2022 plan to drive double-digit earnings per share accretion, with the majority of expansion generated through growth from our build and buy strategy. Today, I'm pleased to share that we delivered on this plan for the fiscal year, with 12.9% year-over-year EPS accretion on an adjusted basis, 10.5% year-over-year revenue growth on a constant currency basis, and $14 billion of bookings with book-to-bill ratios above 100% for all service offerings led by consulting and systems integration at 118%. This strong performance was achieved through the efforts of our now 90,000 talented consultants and professionals who delivered on our client commitments, deepened our relationships and expanded the business by winning new engagements across our end-to-end portfolio of digital services and solutions. Before turning to a review of the value we created for each of our stakeholders for the full year, I would like to highlight some of the new awards booked in Q4, which reflect continued client demand for modernizations and rising demand for cost savings. CI Financial, a Canadian based global asset and wealth management company, signed a long-term partnership with CGI to modernize, deliver and manage their proprietary transfer agency platform and a SaaS based model. HSBC extended CGI's application management services engagement to the support the global rollout of their trade platform, which was co-created with CGI to make trades simpler, faster and safer for customers through integrated digital experiences. Aktia, a finished financial services firm, signed a new partnership with CGI to help them drive operational efficiencies and accelerate the development of new products and services for improved customer experience. European Space Agency selected CGI to support the development of a dynamic predictive routing tool utilizing CGI's AI accelerator IP, which enables satellite network operations to become more efficient. Vodafone extended their long-term relationship with CGI in the U.K. through a new 15-year engagement to design, build and extend their internet of things platform and support of critical national infrastructure services. And the U.S. Nuclear Regulatory Commission awarded CGI a new agreement to help the agency prepare for emerging cyber threats, including by employing a new digital forensics lab to help evolve their security posture. One of CGI strategic priorities over the past year has been to broaden our relationships with key platform providers. Our bookings in the fourth quarter were boosted by several new partner-based projects across each of CGI's named global alliance partners, including with Microsoft, SAP, AWS, Salesforce, and ServiceNow. Turning to fiscal 2022 performance for each of our three stakeholders, clients, employees and shareholders, I will start with clients. Critical to our growth agenda remain CGI's deep and trusted relationships with clients who increasingly partner with us to help them in their most important digital transformation efforts. The investments we made this year further enhance CGI's capacity to create client value through our industry and technology expertise, end-to-end services and delivery excellence. Again, this year, client satisfaction was up on every dimension we measure, with clients' intent to engage CGI again in the future as one of the highest scores at 9.5 out of 10. Turning now to our employees. Whom we call members as 84% are also shareholders of CGI. Our deep and trusted relationships are essential, and therefore, the investments we make in these talented consultants and professionals are paramount to our success. As with our clients, the satisfaction of our members also increased on every dimension this year with one of the highest scores reflecting overall commitment to the company at 9.2 out of 10. As such, our voluntary attrition rate continues to be below the overall IT services industry average. Importantly, hiring is up on a year-over-year basis, surpassing pre-pandemic levels. We remained focused on early career talent with students and new graduates representing close to 20% of all hires last year. In recognition of our continuing talent investments and our team-oriented inclusive culture, CGI earned a position on Forbes magazines list of the world's best employers just last month. And for our shareholders, the combination of CGI's industry portfolio, geographic presence, end-to-end services and operating discipline has and will continue to strengthen our resilience and capacity to deliver shareholder value. We close the year with broad base constant currency revenue growth in all geographic segments and industry sectors, including 22.6% in our Western and Southern Europe geographic segment, 21.5% in Asia-Pacific, 14% in U.S. commercial and state government, and 13.7% in the financial services industry sector, 11% in government and also 11% in healthcare. A contributor to growth this year was our increased M&A activity as we close five new mergers and welcomed over 5,000 consultants, a significant acceleration over fiscal 2021. In applying CGI's disciplined evaluation approach in fiscal 2022, we analyzed an increased number of potential merger opportunities, of which more than 40% included IP-based services. A subset of these companies remain active in our current pipeline, and at the same time, we continue to identify and assess new merger opportunities given a highly fragmented IT services environment. Turning to fiscal 2022 profitability. Adjusted EBIT was $2.09 billion for a 16.2% margin, up 10 basis points year-over-year. Net earnings were $1.47 billion for an 11.4% margin, up 10 basis points year-over-year. Net earnings on an adjusted basis were $1.49 billion, margin of 11.6%, up 30 basis points year-over-year. EPS was $6.04, up 11.6%; and EPS on an adjusted basis was $6.13, up 12.9%. These strong returns were driven by a combination of revenue growth and improved profitable business mix and continued operational excellence. Our strong cash generation and capital allocation during the year enabled us to make a number of accretive investments, $374 million back into our business, including in talent, IP offerings, and new managed services contracts; $659 million in acquisitions for an investment of $572 million net of cash acquired; and $913 million to buy back our stock, which remains an accretive and flexible mechanism to return capital to our shareholders. Looking ahead to fiscal 2023, we remain confident in CGI's positioning as one of the few leading global firms with a scale, reach and capabilities to help clients drive their digital transformations forward. To address the current economic environment, many clients are prioritizing operational efficiencies and placing a sharper focus on business case returns, helping them generate cost savings to fund and accelerate their digitization investments. Across industries, we continue to see clients embed and optimize their technology from end-to-end, transforming the entirety of their business value chains. With demand for this more holistic approach and the need to fund it at least partially through cost savings, we believe demand will continue for all of CGI's end-to-end services and solutions. This view is supported by our bookings over the past year and our future pipeline of opportunities. Over the past year, we saw an uptick in demand for our business and strategic IT consulting services, as clients began to accelerate many key initiatives which required business model transformation, customer experience design, and cloud advisory. In line with this uptick, overall systems integration and consulting bookings increased by over $1 billion in fiscal 2022 and comprise 50% of our total bookings mix of services. Importantly, future client demand remains strong for SI&C as our pipeline of opportunities for these services is up on a year-over-year basis. At the same time, our pipeline over the next year reflects an increased interest in managed services as the total value of these opportunities is up by nearly 40%, and for IP, the pipeline is up 25%. In fact, our managed services and IP bookings in the fourth quarter were the highest over the last five quarters. This shift toward more managed services and IP demand is one we have predicted for several quarters, given the value propositions for these services in the current economic environment. Our portfolio of end-to-end services and solutions and the breadth of enterprise clients working with CGI, positions us to quickly identify, adapt, and meet client needs. This enables CGI to profitably grow through our build and buy strategy for the benefit of our shareholders now and in the future. In fact, we have a proven track record of strong financial performance even during previous economic slowdowns. Related to the buy strategy, we see an increasingly positive M&A environment for CGI based on three key dynamics. Valuations are coming down, notably for the publicly traded firms in our pipeline. Currency is in our favor, given the strength of the Canadian dollar, and CGI strong balance sheet enables us to act on both metro market mergers and transformational mergers. These dynamics, along with our robust pipelines suggest there is and will be more potential merger opportunities that are both attractive and actionable. We'll remain disciplined in our approach to ensure investments are creative for shareholders and have a necessary cultural fit to deliver ongoing benefits for each of our stakeholders. In closing, we've architected our fiscal year 2023 business plans with the capacity to invest in driving revenue growth at or ahead of the markets where we operate while again, delivering double-digit EPS accretion. Thank you for your continued interest and support. Let's go to the questions now, Kevin.
Kevin Linder: Thank you, George. Joel, we can now queue up for the questions, please.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Richard Tse from National Bank Financial. Please go ahead.
Richard Tse: Yes. Thank you. So great numbers, and thank you for providing all that additional disclosure in your comments on things like book-to-bill IP. That's really helpful. Can you maybe talk about -- if you look at your existing customer base that's on this digital transformation journey to kind of use a baseball analogy, are they kind of like in the third inning or the sixth inning? Just kind of curious to see where that stands today.
George Schindler: Yeah. No, thanks for the question, Richard. And yeah, we have used the baseball analogy before. But when we look at it and I talk to our clients and we look at the voice of the clients, it feels as if this digitization race never ends. And so, I would say still early innings, but it may not even be a nine inning game.
Richard Tse: Okay. Fair enough. And you talk about sort of these surveys you do, I know you do them fairly regularly on the annual basis. When you do them, do you ask sort of questions as to what services your clients may see going forward in the future that they are going to be in demand. And if so, what are they saying about those services?
George Schindler: Yeah. We do ask a number of questions about the trends, both from business perspective, but also from an IT perspective and what would make a difference for them in their business. And what we hear from them is a lot of the story we've been telling for a while here, which is around some of the technologies that provide more data insights. So, the data analytics is an important element that they talk to. Of course, they talk about some of the operational efficiencies provided by technologies like cloud, and they also talk about though the combination of bringing technology together with the business. And that's why we've invested a lot in the business consulting area of the CGI end-to-end services.
Richard Tse: Okay. And just one last one for me. It's good to see the additions to the people. If you look for -- can you maybe give us some color in terms of your hiring plans as you look ahead to next year?
George Schindler: Yeah. So, you might have seen that we've slowed some of the open positions just the tad, still up year-over-year. And the reason for that is, is we're seeing some of the turnover numbers come down a little bit. So, we still see strong growth. We've been very successful on the hiring side. Our turnover's been below the industry average, but is starting -- we believe it's starting to come down and has plateaued. And so, we'll adjust our hiring appropriately. But we haven't had a talent shortage throughout this past year. We've been able to hire and keep a higher percentage of people than some others.
Richard Tse: That's great. Great quarter. Thanks.
Operator: Your next question comes from Stephanie Price with CIBC. Please go ahead.
Stephanie Price: Hi. Good morning. Just following up on Richard's question a little bit there, you've obviously been staffing up offshore. Just curious about offshore demand and how you think about the right mix of offshore and nearshore employees over the longer term.
George Schindler: Yeah. So, Stephanie, thanks for the question. And you know that we remain committed to our proximity model because that's where the relationships are built and housed and has made a big difference in some of those, we believe in some of those client satisfaction scores that we have. Having said that, especially given some of the inflationary pressures that our clients have, we're giving them more options by building up our global delivery, centers of excellence and that's proven to be very successful for both our clients and enabled us to manage the wage inflation that everybody is facing. So, we believe that we will continue to be able to build that, and as we grow our business, and it's growing a little bit faster than the rest of our business, but you can see that we're also growing in proximity as well.
Stephanie Price: Sure. And then just wanted to have the capital allocation just in light of the government's 2% tax on buyback that's supposed to be implemented in January, 2024. Just curious if it change the capital allocation strategy at all in 2023 and beyond.
George Schindler: Steve?
Steve Perron: Look for 2023, the 2% will not be applicable. So, we're not changing our plan. And for the future you see 2% will be considered in calculations. That's something that we will look at. But we are not anticipating that it will affect significantly our plan for the future.
Stephanie Price: Thank you. And maybe I can sneak one more in on Canadian results, which are very strong in the quarter. Just curious what you're seeing in Canada in terms of bookings and in terms of client demand.
George Schindler: Yeah. Well, as you know, we're still very strong in the financial services market in Canada. And we continue to see digital transformation moving forward with the banks in Canada and certainly fueled in some of that growth in Canada's is fueled by our intellectual property where we continue to make investments and lead the market in areas like wealth management. So, we will continue to -- we continue to see a strong demand right here in Canada.
Stephanie Price: Perfect. Thank you very much.
Operator: Your next question comes from Thanos Moschopoulos with BMO. Please go ahead.
Thanos Moschopoulos: Hi. Good morning. George, just to, I guess, be explicitly clear on the macro, I think your message is that clients are shifting their spending priorities, as you mentioned, more managed services in IP. The budgets aren't coming down per se. First -- I guess first of all, is that correct? And then secondly, as far as sales cycles and approval process, has there been any change there, or not that you're seeing at this point?
George Schindler: No. Yeah. You heard it right on the macro environment, we see it as a shift, right? So, we may expect to see some slowing of -- maybe consulting as a standalone. And just to remind you that's only about 4% to 5% of our overall revenues. But we're embedding some of that consulting work into some of those managed services deals that we're seeing things shift to. So that's why we're pretty bullish even in this current macroeconomic environment that we can manage that shift and still help our clients with the demand. We saw that the majority of our clients, the vast majority of our clients are holding budgets the same or growing them. And so, when they're doing that, uh, they are looking for cost savings, which is another reason for that shift to managed services, but also the shift to some of our commercial off the shelf solutions in IP versus rolling their own. What's interesting is when you look at that environment, our top systems integration and consulting deals this quarter, if you just look at the top deals in the quarter, their average duration is approximately three and a half years. So, they are squarely in these digital transformations. It's consistent with what we've been suggesting as we looked at their voice of the client information. So, there is a shift, but still strong demand out there.
Thanos Moschopoulos: And sales cycles not seeing anything as far as -- more approvals are getting deals over the finish line, that consistent?
George Schindler: Yeah. Well, on the sales cycles, we're seeing two things that I mentioned on the remarks, right? We talked about a need for cost savings and we talked about a sharper focus on the business case. And when cost savings enter the equation, they actually tend to go a little bit faster. So, it speeds up some of the booking sales cycles. However, when you get a sharper focus on business case returns, that tends to slow things down a little because you want to actually do more evaluations. So, it's kind of a tail of two sides. And so, some deals are moving a little bit faster, some deals are slowing down a little bit. So, overall, I would say it kind of balances each other out, and in the in the fullness of time.
Thanos Moschopoulos: Okay. Maybe one last one is on margins. I mean, some puts and takes, as we think about the next year, I think on the one hand, you should get some uplift from integrating the recent tuck-ins clearing into the IP mix is poised to grow. On the flip side, you're doing more hiring, which can have near-term impacts. As we put this all together, how should we think with marketing trajectory over the upcoming year?
George Schindler: Yeah. Well, I think you summarize that very well. And also, Steve mentioned, we've got some of the expected higher travel costs for business development, now that everything's opened up. And then some of the temporary effects of the hiring, as you said, but many tailwinds for the future quarters, not just the completing the integrations, but also the effects of some of the changes and restructuring made in the Scandinavia and Central European operations, particularly the GTOs. They're, actually, we believe there'll be a utilization increase as our turnover comes down. We won't have to hire as much that actually, I think could be a tailwind as we move in. And of course, the big one is that shift in the bookings next to more managed services and IP, but also growth in global delivery, and operational excellence. So, we got a number of tailwinds that will allow us that continued steady growth on the on margins, even with some of those headwinds.
Thanos Moschopoulos: Great. Thanks. I will turn offline.
George Schindler: Yeah.
Operator: Your next question comes from Jerome Dubreuil with Desjardins Securities. Please go ahead.
Jerome Dubreuil: Hi, everyone. Thanks for taking my questions. First one is on Europe. I mean, you have a unique lens through which you can see a situation there. Are you seeing a more sorts of more pronounced macro impact? There'll be more opportunities, or is there a bit more risk in the near-term? And then second, one from last night's elections in the U.S., not going to ask you for your political opinions there. But wondering if you're seeing a more conducive landscape, when the House and Senate are aligned with the White House or a different situation? Thank you.
George Schindler: Yeah. Well, let's start with Europe. The fact that the Europe is a poster in proximity, obviously, to the conflict going on in Ukraine, and of course, the impact then on the supply chain and energy, you would think that there would be a little more of an impact there in Europe, and certainly they were quicker to plan for some potential slowdowns. But that's exactly what they've been doing. And many of our European clients are global. And so, they're all remaining focused on digitization. And I would say maybe more the regional clients in Europe are a little more focused on cost savings first, but still remain focused on digitization. And then, I'll just remind you that for us 30 -- 34% of our Q4 revenue overall is in government. But that number doesn't go down much. When you look at Europe, about 30% of our revenue is in government in Europe. So, it's a little bit higher in North America, but it's still 30% in Europe. So -- and as you know, government is countercyclical during an economic slowdown. So, we feel like we've got a good portfolio business there in Europe to continue to grow, even through this current times. When you go to the elections, thank you for not asking me for my political views on that. It's certainly entertaining to watch some of that. But in general -- here's how at first maybe characterizes, in general, the work we do is bipartisan. So, if you think about the work we're doing in IT modernization, it may shift from what agency that IT modernization is done with, but in reality, you still need IT modernization as a bipartisan topic. And in fact, if your budget gets cut, you might even need more of the cost savings and around the managed services which typically government doesn't start with. Something like cybersecurity, which we're doing at the Department of Homeland Security supporting 35 different Federal agencies, pretty much a bipartisan issue. Back off as managed services, including our momentum ERP, I could go on pass-code operations, I could go on and on. But the reality is that when you look at it, a lot of our work is bipartisan. So, then to your question is, yeah, it's helpful that we actually have a budget, and we're still working under a continuing resolution now. I'm hopeful that without a clear mandate, that actually is better for us, because it means that the Senate does more bipartisan spending bills, and then we can get on with actually getting the work done. But I'd remind you with a strong incumbency and all of the work we currently have, we're able to have over two times backlog in our book of business, we're able to get through some of these inevitable slow decision making if it occurs.
Jerome Dubreuil: Thank you, George.
Operator: Your next question comes from Divya Goyal with Scotiabank. Please go ahead.
Divya Goyal: Good morning, guys. Further on this European question. I wanted to understand what is the expected growth rate that you are seeing in? Or how should we model for Western and Southern Europe? I do see there was a slight drop as compared to some of the previous quarters, which had been growing at a little bit higher growth rate. And similarly for Scandinavia and Central Europe, it actually did pretty well this year. Not surprising. So, how should we best think about these two segments in Europe going forward?
George Schindler: Yeah. Well, as you know, Divya, we don't give guidance on growth. But just from an overall services perspective, I think that the overall growth rates in Europe for IT services are staying pretty close to what they are in North America. And that's certainly what we'll be focused on. We do have some tailwinds. Obviously, now with the first full quarter of Umanis in our European operations, over 50% of that is squarely in the digital transformation. So, we have ways to manage through that. And thank you for noticing and calling out the Scandinavia and Central Europe. As you know, we've been working hard on that. So, I think overall, we look pretty good. The shift to managed services is going to be important. That doesn't happen overnight. So, you might see some lumpiness, but for the full year, we're still looking at that growth.
Divya Goyal: That's very helpful. And I'll just ask one more question on the M&A side. So, on a quarter-over-quarter basis, your margins did shrink a little bit. And it has to do with the M&A activity as you continue to embark on more M&A, say, a few quarters down. How do you best I know you don't right. But like, how should we best kind of think about it from an SG&A expense standpoint?
George Schindler: Yeah. No, I appreciate the question. And it is temporary, but it does. It's a little more pronounced in when we do European M&A, because it takes a little bit longer. And quite frankly, a little more time to execute on some of the activities, just given the regulatory environment in Europe versus the regulatory environment in North America or other parts of the world. So, I think that's how you can maybe think about that. But, of course, as you know, we're looking at this M&A as something we want to do across every one of our geographic operations. And so, you'll probably see more in North America and of course, U.S. is a little bit faster to get some of those returns. So stay tuned.
Divya Goyal: Thanks George.
George Schindler: Yeah.
Operator: Your next question comes from Daniel Chan with TD Securities. Please go ahead.
Daniel Chan: Hi, good morning. Maybe just another question on M&A. Last quarter, you are expecting to do about $1 billion for the year. Where does that target stand now?
George Schindler: Yeah. So, you heard that we're about two-thirds of the way there in pricing, but of course, we get some cash with that. So we're a little bit under that from an investment perspective. But we've got some big opportunities still out there. We can't time these. So I can't I can't even try to do that. But what I can tell you is that it's -- we're very pleased with the acquisitions that we did close this year. We're very pleased with the pipeline of opportunities we have going forward with some like minded companies, and we have a similar plan, if not higher in the next year. So, we're pretty bullish on where we are, what we've accomplished, and what we may still accomplish this year, but also where we're heading next year.
Daniel Chan: Okay. Sounds good. Maybe shifting to the bookings, the new business bookings mix was much higher this quarter than in the past? Is there anything driving that mix higher in particular? And if you look to the pipeline now, is the proportion of new business larger than in past?
George Schindler: Yeah. So, it's a great question. And yes, it's been very deliberate. We made some investments in talent, in our end-to-end services and offerings and partnerships, and raising our profile. And I think you're seeing some of the realization of that, which is positions us to be that partner of choice for our clients. And so that's -- it's really a result of some of the investments we've made over the last few years. And yes, from a pipeline perspective, the new business is in fact up even higher than what we booked in the quarter.
Daniel Chan: Thanks George.
Operator: Your next question comes from Rob Young with Canaccord. Please go ahead.
George Schindler: Hey, Rob. Rob?
Robert Young: Sorry about that. I was on mute. A couple of comments in -- the prepared comments were focused on capacity. I'm just curious. You said you have the capacity to deliver growth, you've had a couple of peers are highlighting issues with U.S. capacity. A couple that are hiring, highlighting higher utilization, you just noted that you expect to see higher utilization. So, I'm just curious about the comments around attrition and maybe a slowdown in hiring. How does your capacity look? And maybe just to dig deeper into that? Are you winning share, because you have more capacity to deploy it in the U.S. and other markets?
George Schindler: It's an interesting question, I think part of part of our wins is not only just overall capacity is that proximity capacity, and that might be the difference that you hear from some others. We have a strong critical mass that we continue to build both organically and in organically in the U.S. And as you hear we're continuing to grow faster in global delivery. But that's we're coming from proximity and growing faster in the global delivery rather than the other way. And so, I think that's -- that maybe one of the benefits that we have, that maybe some others don't have. But like I said, it's investments we made across the board and our talent, and our end-to-end services. And our quality, that has also made a difference in us winning some of that market share. Also, I would say our willingness, because we know our clients well, is we can be flexible in our partnerships. And that's a big differentiator for CGI. Clients tell me all the time you show up differently. I know it's an X factor. It's harder for you to quantify. But it's -- you can see the results in the bookings in the revenue growth.
Robert Young: That's great color. The comments about the additions to offshore? I think you didn't implicitly wanted to grow that. And I think you said earlier in the call that maybe you'll be slowing that growth. And did I hear that correctly, the first part? And then the second would be around the impact on margins? I think, is it still a situation where you're maybe have less offshore delivery relative to your peers as a percentage of employees? And then as you build up the offshore delivery, does that imply a strong support for margins going forward?
George Schindler: Yeah. Well, on the first question, let me clarify that. What I'm saying is that the pace of hiring can be a little bit less in order to get the same growth when your turnover comes down. And so, that was just making that that comment, but certainly, we're continuing to grow. And as I mentioned, grow faster in global delivery. And yes, it does help our margins. In fact, it's one of the ways we've been able to keep the margins where they are and continue to grow them through that mix of talent. So, I mentioned the working the talent mix from the new hires, the students and the new graduates with 20%, but then that higher growth in global delivery, and then enabling us to do project rotations for the people that are in proximity to higher value work and higher margin work or higher rate work, which then comes with a higher margin. That's the one of the ways, a big way that we've been able to manage the wage inflation without impacting the pricing on our clients. Now, of course, we're also doing some of the pricing where we value our services. And through rate increases, but this is a nice way for us to balance that for our clients and for our shareholders.
Robert Young: Okay. Great. Last one for me just on the IP booking strength. I know you've been working on that for a long time. But is this driven by outbound efforts? Or is that being driven more demand? Or are your customers seeing you more as a provider of that type of service? Maybe you just give some color around that strength?
George Schindler: Yeah. It's a combination of both. And what we've been working on from an outbound perspective is not just getting our IP to more people, but making those deals larger by bundling them with managed services, bundling them with business process, outsourcing BPO. And in fact, if you look at our IP deals in the pipeline, this time of the year versus the same time last year, they doubled in the number of deals greater than $100 million, have doubled. And so that's just an indication of what we're doing with those deals. We've also had some nice cross geography momentum. We're also using a partnership channel now. So, we built some of our IP on top of platform providers. So, we -- I think you use the example last quarter on collections with Salesforce, also done retail with Google as examples. And now we can use their channel to get that to more of our clients. And then, of course, we are investing in our IP itself to make it more attractive. So, it's really the combination of the two that's making a difference. And yes, we have been investing in this. And that's very important to us. The last item, though, as we do -- we'll continue to look for IP through the inorganic means. And I mentioned that a lot of the companies that we looked at this year did in fact -- 40% of them did have IP associated with them, some exclusively IP and some mix of IP and other services. But we continue to think that's an important driver here as well.
Robert Young: Great. Thanks for taking the questions.
George Schindler: Yeah.
Operator: Your next question comes from Steven Li with Raymond James. Please go ahead.
Steven Li: Thank you. Hey, George. The team has done some good restructuring working in Scandinavia, but the margins are still lagging the group. How realistic is it to expect gross margins to approach the rest of Europe and what would be a reasonable timeline? Thanks.
George Schindler: Yeah. Well, certainly, that's the plan. It's -- I would view that as a tailwind. The growth we're now having there is definitely tailwind. Some of the numbers you do see there do include some restructuring that we expensed in both the quarter and the end the year. So, let's bring it down. So, we would expect to see those improving as we move through the next few quarters. And then, getting to the more of the CGI targets may take a little bit longer. But certainly you'll start to see those improvements in the next few quarters.
Steven Li: George, does it mean more IP, for example, or just higher utilization gets you to it.
George Schindler: Yeah. It's a it's a mix of both. We've got a lot of great consulting services there. We want to mix that with the end-to-end services. And so that's a big -- it's a big driver of the opportunities there. Some great clients there. Some talented individuals. It's just -- as you've seen in other parts of world takes a little bit more time.
Steven Li: That's great. Thanks.
Operator: Your next question comes from Jason Kupferberg with Bank of America. Please go ahead.
Tyler DuPont: Good morning, everyone. This is Tyler DuPont on for Jason. Thanks for taking my question. Just jumping off some previous comments regarding hiring. Can you just clarify roughly how many of those new hires are focused more on offshore delivery versus onshore and are there specific segments that you're seeing more robust timing and others? Then, also just to build on that if you can quite an update on the utilization metrics that you've seen during the quarter. I appreciate it.
George Schindler: Sure. On the on the offshore versus onshore hiring, I think Steve mentioned that we're now at 22% grew at a 14% level, which is a little bit higher than the rest. So, you can kind of kind of see the movement there, based on those numbers. And then, when you when you talk about -- was your second question.
Tyler DuPont: It had to do with specific segments that are seeing more robust timing than others. And just an update on utilization.
George Schindler: Yeah. So, the segments -- well, clearly Asia-Pacific, because it has the bulk of the global delivery. But it's not the only place we have global delivery, but we're seeing strong hiring in -- certainly the U.S. segments. And then, of course, with the addition of some of the inorganic growth, you're seeing that in WFC. And then Canada has had very strong hiring. So, those are some of the geographic segments, you see. But again, we've had growth everywhere, just slightly different paces.
Tyler DuPont: I appreciate that. Thank you. And then secondly, I just want to ask a bit more about your vertical markets. It looks like financial services definitely saw some really strong growth during the year. Can you maybe just talk about some of the successes we're seeing there? And just balancing that with communication and utilities, which looks like it had more of a growth profile compared to fiscal 2021?
George Schindler: Yeah. So, if you look at financial services is one of our largest segments right after government. And it's pretty broad-based. I highlighted some of the big bookings in the quarter, CI Financial, which actually a digital transformation leader really selected CGI for our business knowledge. And in the wealth space, but also the technology and operational know how. And then we've mixed that together with even some business process operations. So that's a good example of a digital leader in the financial space teaming, partnering with CGI. See the same thing with HSBC, which I highlighted, where we're co-creating with the bank, pretty much the heart of what they do their largest -- one of the largest trade banks. We're co-created with them on a trade platform. And again, it shows the business -- combined business knowledge and technology leadership of CGI working in partnership with the bank. And then Aktia is an interesting one. They really needed a partner to help them implement their digital transformation. But to do that, with some cost savings, so they wanted to improve their competitiveness. But at the same time, they need to fund that through cost savings. So, again, they partnered with CGI, we actually rebadged a set of their staff, and they're now part of CGI. We can give them the cost savings. They can give career opportunities to their people, even with the cost savings, and then turn around and help them implement their digital transformation vision for competitiveness. So, it gives you -- gives you an idea of what we're doing there in financial services. On the communication side, I mentioned that, with Vodafone, it's really our deep technical expertise to help them kind of in their infrastructure backbone around IoT, and 4G for a national critical infrastructure. So, this is a real -- it's a real opportunity for us to continue to go. But communications, and it's been a slower move for them on some of these changes that they're going through. But I think that's going to be continued to be very robust moving forward.
Tyler DuPont: Great. Thank you. I appreciate that. I appreciate all the insight.
George Schindler: Yeah.
Operator: Your next question comes from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber: Thanks very much. Good morning. Just wanted to follow up on the questions around offshore, but in particular, in regards to virtual versus in office. And obviously during COVID there was a shift to virtual and I think that pretty much favored offshore. Do you see the acceptance of virtual as a long-term tailwind to offshore? Or do you think ultimately, in time it'll settle out and won't be a structural change in the industry?
George Schindler: Yeah. It's a great question. I don't have a crystal ball. I definitely think that some of the tailwind on virtual, given the pandemic, will continue. I think structurally that will continue in the industry. So that's certainly there. The one hesitation I would have is there's also the realities around the geopolitics. There's the realities around regulatory environment that I think will counterbalance that a bit. So that's why I kind of hesitate a bit on the crystal ball. But certainly, in the current environment, it's a tailwind for us.
Paul Treiber: And do you see like nearshore also benefiting from virtual and sort of -- you mentioned the pros and cons to offshore, does nearshore sort of split those? And do you see it as the ideal positioning for your mix of employees?
George Schindler: I think you're onto something there. Yeah. We do see nearshore as a big differentiator in that balancing. It's not the same cost savings as offshore, but it addresses some of those other areas. And so, it's always been part of our max. It's always been part of our value proposition. If anything, I think it's just becoming a stronger part of the value proposition. And it just -- as part of what we've always said, which is global delivery, not offshore delivery versus onshore delivery, it's really global delivery. And those nearshore centers make a huge difference on the value proposition.
Paul Treiber: Okay. Thank you. I'll pass on.
Kevin Linder: Joel, we'll have time for one more call, please. One more question.
Operator: Your next question comes from Suthan Sukumar with Stifel. Please go ahead.
Suthan Sukumar: Good morning. I had a question on kind of really -- in terms of the competitive landscape and what you're seeing in terms of client behavior? Just kind of curious, are you seeing any trends around vendor and service provider consolidation within your client base? And if so, how do you see yourself positioned? And are you seeing an opportunity to really capture more that wallet? You're getting -- you bought a capability set?
George Schindler: Yeah. No, it's -- we definitely are seeing a bit of vendor consolidation across industries, across geographies. And where a lot of that -- a lot of the displacement comes from some of the local providers that had also given us an opportunity on the on the M&A side, but we're very well positioned with -- as I mentioned, some of the investments. We've making our end-to-end services, our global delivery. It really is differentiator. Why I highlighted the client satisfaction scores and the willingness. We're seeing a large percentage of the 2022 bookings were for new or expanded workshare and a lot of that is from some of that vendor consolidation that you're asking about. So, I call it's the next wave of vendor consolidation. Every time you go through an economic boom time, clients tend to kind of collect multiple partners, and they get more focused in times like today, so this is -- it is an opportunity for CGI.
Suthan Sukumar: Great. Thank you.
George Schindler: Yeah.
Kevin Linder: Okay. Thank you. Sorry.
Operator: Sorry, I was just going to say there are no further questions at this time.
End of Q&A:
Kevin Linder: Thank you, Joel. Thanks everyone for participating. As a reminder, a replay of the call will be available either via our website or by dialing 1-877-674-7070 and using the passcode 333313, as well a podcast of this call will be available for download within a few hours. Follow up questions can be directed to me at 1-905-973-8363. Thanks again everyone, and look forward to speaking soon.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating and ask that you please disconnect your lines.